Operator: Greetings, and welcome to the LSB Industries Fourth Quarter Full Year 2025 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kristy Carver, Senior Vice President and Treasurer. Thank you. You may begin.
Kristy Carver: Good morning, everyone. Joining me today are Mark Behrman, our Chairman and Chief Executive Officer; Cheryl Maguire, our Chief Financial Officer; and Damien Renwick, our Chief Commercial Officer. Please note that today's call includes forward-looking statements. These statements are based on the company's current intent, expectations and projections. They are not guarantees of future performance and a variety of factors could cause the actual results to differ materially. For more information about the risks and uncertainties that could cause actual results to differ materially from those projected or implied by forward-looking statements, please see the risk factors set forth in the company's most recent annual report on Form 10-K. On the call, we will reference non-GAAP results. Please see the press release in the Investors section of our website, lsbindustries.com, for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. At this time, I'd like to go ahead and turn the call over to Mark.
Mark Behrman: Thank you, Kristy, and good morning, everyone. Turning to the 2025 Highlights. I first want to recognize our teams for their continued focus on safety and operational discipline, which drove further improvement in our safety performance during the year. Our 12-month rolling total reportable incident rate of 0.40 incidents per 200,000 work hours as of December 31, 2025, was a record low, and 3 of our 4 sites operated injury-free for the full year, quite an accomplishment. That represents a meaningful improvement over 2024, and we're proud of the progress our teams have made. We delivered significant year-over-year growth in net sales, adjusted EBITDA and EPS in both the fourth quarter and the full year of 2025. Our strategies to improve our operational performance, combined with disciplined commercial execution, yielded strong financial results. The operational progress we achieved during the year enabled us to fully capitalize on favorable pricing momentum across our key products. We delivered record nitric acid and ammonium nitrate solution production in 2025, reflecting the progress we've made in plant reliability, throughput and operational efficiency. We believe this positions us well going forward, and we are ready to take advantage of current favorable market conditions. While we have been able to capture value with the operational and commercial improvements we've made, there remains significant value to capture, and we have ongoing initiatives intended to do just that. Cheryl will provide more color on that later in the call. Lastly, we are making good progress on our CCS project at our El Dorado site, and we feel good about meeting our projected time line. I will provide an update later on the call. Now I'll turn the call over to Damien to provide more detail on the commercial environment.
Damien Renwick: Thanks, Mark, and good morning, everyone. Turning to Page 5. Our Industrial business remains well positioned with demonstrated performance across the board. During the fourth quarter, we optimized our production balance by reducing UAN production volumes to maximize ammonium nitrate spot sales at above typical market prices. This was to support existing customers whose regular AN supply was constrained by some supplier issues. Demand for AN for explosives in mining is strong across all commodities, but particularly with copper and gold miners who are maximizing production volumes to take advantage of record prices. AN demand for explosives for quarrying and aggregate production for infrastructure also remains steady. Demand for coal production remains resilient as the U.S. continues to generate more power from coal. Preliminary antidumping duties on imported methylene diphenyl diisocyanate, or MDI, combined with tariffs has increased U.S. production, leading to increasing demand for nitric acid. Turning to Page 6. Pricing for UAN averaged $320 per ton on a NOLA basis in Q4, up 39% over Q4 2024. UAN prices dipped slightly in November and December, but have recently improved. This reflects continued low levels of domestic inventory, constrained supply and a strengthening in urea prices. We began the 2026 fertilizer year with the lowest carryout inventory of UAN in several years. Together with the late start to summer fill, this has created a tight domestic supply situation, and we expect this to continue through midyear. We saw strong full ammonia sales, supported by favorable weather conditions, and we continue to see strong demand domestically with ongoing favorable application weather and higher prices for upgrades supporting demand. The Tampa ammonia benchmark price remains above year ago levels. Ammonia prices currently reflect reduced supply from the Middle East and Trinidad, higher cost of production in Europe and delays in new production capacity coming online. This is constraining global supply availability. In terms of the outlook for global ammonia, we see prices trending back to mid-cycle levels as new production comes online during 2026. But like the last couple of years, the market remains finely balanced and sensitive to any production interruptions. Finally, we believe broader ag market dynamics remain supportive of nitrogen fertilizer demand. The USDA recently projected 94 million planted acres for corn for the 2027 season, and we anticipate nitrogen demand to track closely with recent years. Now I'll turn the call over to Cheryl to discuss our fourth quarter financial results and our outlook.
Cheryl Maguire: Thanks, Damien, and good morning. On Page 7, you'll see a summary of our fourth quarter and full year 2025 financial performance. Our results reflect the impact of the reliability improvements we've implemented across our operations. These gains, combined with the absence of planned turnarounds, positioned us to capitalize on strong market conditions. As a result, full year 2025 adjusted EBITDA was $162 million compared to $130 million in 2024, representing a 25% year-over-year increase. As shown on Page 8, Q4 adjusted EBITDA grew 42% year-over-year from $38 million in Q4 last year to $54 million this year. This increase reflects higher pricing, coupled with stronger volumes and product mix, which were partially offset by higher natural gas and other operating costs. Operating costs were elevated this period due to timing of expenses, along with increased maintenance and contractor support as we advance towards our production targets. We expect contractor-related costs to decline toward the end of 2026 as this work is completed. On Page 9, you can see that our balance sheet remains solid with approximately $150 million in cash at year-end and net leverage of 1.8x for the period ending December 2025. Operating cash flow for the full year of 2025 was $96 million. After subtracting $53 million of sustaining capital, the capital required to maintain our operations, free cash flow was $44 million. The remaining $25 million of CapEx relates to investments made to support growth in our business, which is discretionary and not included in free cash flow. While free cash flow looks lower than EBITDA might suggest, the shortfall is largely timing related. Working capital grew by over $30 million during the period, driven by the rollover of certain 2024 payables that were paid early in '25 as well as strong end of the quarter sales falling into receivables at year-end. Adjusting for the timing of these items, free cash flow generation was consistent with our expectations. In addition to investing in our manufacturing assets in 2025, we also derisked our balance sheet by repurchasing approximately $40 million in principal amount of our senior secured notes while also repurchasing approximately 300,000 shares of stock during the same period. Page 10 outlines the key considerations behind our full year 2026 expectations with the table on the upper left showing our estimated ammonia production and sales volumes. These estimates reflect planned turnaround activity, including the previously communicated El Dorado turnaround, which we have scheduled for the second quarter. In addition, we are accelerating a turnaround at our Pryor location, originally scheduled for 2027, so we can proactively perform work needed to improve reliability at that site. We are targeting the third quarter for this turnaround. This proactive step reinforces our focus on improved plant reliability and positions the business for sustainable production performance. The impact of both turnarounds is expected to result in lost ammonia and UAN production tons in 2026 of approximately 60,000 and 50,000 tons, respectively. Despite these planned outages, we continue to expect strong underlying volume momentum, reflecting the operational improvements we've made across our facilities. The slide also covers our estimates of variable and fixed plant expenses as well as SG&A and other expenses for 2026. Our expectations for costs reflect investments we are making to achieve our production volume goals. We expect to see costs trend down towards the end of 2026. We expect our effective tax rate for the year to be approximately 25%. However, we do not expect to be a material cash taxpayer in 2026 as we continue to utilize our NOLs. In the table at the bottom right of the slide, you'll see that we expect to invest approximately $75 million of CapEx in our facilities during 2026. That includes $55 million for annual EH&S and reliability CapEx and $20 million earmarked for investments, including enhanced logistics and storage capabilities for our growing AN business. Turning to the first quarter, a few notables. We expect strong selling prices for our products, roughly in line with the fourth quarter of 2025. Winter storm burn drove short-term gas volatility in late January and into February settlements and resulted in elevated gas prices for February. However, gas prices have moderated back to around $3 per MMBtu, and therefore, we expect much lower realized pricing in the second quarter. As a result of the inflated February natural gas prices, our average gas cost for the first quarter is expected to be approximately $5.50 per MMBtu. From a Q1 sales volume standpoint, we may opportunistically shift some production towards ammonium nitrate solution where market conditions warrant. As a result, UAN sales volumes could be lower with a corresponding increase in AN volume. This reflects our ability to optimize product mix based on market conditions. Ahead of the scheduled turnaround at our El Dorado facility planned for the second quarter, we plan to build ammonia inventory to support continued operation of our downstream plants during the majority of the turnaround. As a result, first quarter ammonia sales volumes will be impacted by approximately 15,000 tons. Overall, we expect a meaningful uplift in our first quarter earnings compared to the first quarter of 2025 and expect the earnings power of the first quarter to mirror that of the fourth quarter of 2025, adjusted for the temporary run-up of gas costs I previously mentioned. We have discussed our focus on upgrading an increasing amount of ammonia to capture additional margins on previous calls. Page 11 illustrates the favorable sales volume trends we're driving in our major product group adjusted for the impact of turnarounds. The first chart shows the increase in AN and nitric acid sales volumes recognized in 2025 as a result of our reliability improvements to our downstream operations and the full year volume impact we expect in 2026. Similarly, the middle chart shows UAN sales volumes, which are on a steady trajectory upward after normalizing for turnaround activity in certain years. The chart on the far right shows a downward trend in ammonia sales as we continue to upgrade ammonia into higher-value products. In this case, a down and to the right trend is a good thing as it results in improved margins. Page 12 highlights the value creation we've delivered over the last 24 months. Since 2023, we've captured approximately $20 million of annual EBITDA uplift, driven primarily by higher downstream production as outlined on the previous slide. Additionally, we expect to achieve approximately $15 million of annual EBITDA improvement beginning in early 2027 related to our carbon capture and sequestration project at El Dorado. Mark will provide an update on that later in the call. As we continue our focus on best-in-class operations, we see an additional $35 million of incremental annual EBITDA uplift ahead of us, primarily from higher production rates, numerous efficiency gains and the continued cost optimization. In total, when complete, these efforts should yield a total of $70 million of annual EBITDA with $20 million already captured and a further $50 million that is planned and underway. We've demonstrated our ability to deliver on these initiatives, and we see a clear path to capturing the remaining value through continued execution of numerous initiatives. And now I'll turn it back over to Mark.
Mark Behrman: Thank you, Cheryl. Page 13 is a time line for our low-carbon project at our El Dorado facility for the year. We and our partners met with senior officials from the EPA's Region 6 office in mid-December to discuss the status and timing of our Class 6 permit application. Based on that conversation and the EPA's stated support for our project, we remain on track to begin sequestering CO2 by the end of this year or at the latest early next year. The milestones we expect are first for the technical review of the permit to be completed in April of this year, followed by the permit to construct in August of this year. And lastly, the permit to inject CO2 by year-end. We're excited to get strong support for our project from the EPA and look forward to partnering with them to complete the milestones this year and getting into operation. Our commercial team continues to pursue low-carbon product supply opportunities where we can generate premiums for those products as well as the potential to sell environmental attributes that we generate. 2025 was a year of meaningful progress across several fronts. Improved production, strong commercial execution and solid financial performance drove strong results, while our continued shift towards industrial business has reduced the earnings volatility of our business. We also took important steps to strengthen our balance sheet, including reducing our debt, all while continuing to invest in our assets and the growth of our business and returning capital to shareholders through share repurchases. We ended the year with a healthy cash position and significant financial flexibility, allowing us optionality when thinking about how we allocate capital and how we grow our business. While we've captured meaningful margin uplift over the last several years, we are keenly focused on executing on specific initiatives that will generate an additional $50 million of annual EBITDA when complete, giving us clear line of sight to continued value creation. I am excited about the future of our business and the opportunity for value creation. I'm encouraged by a healthy market backdrop, and I am confident that we have the right team to continue executing and creating long-lasting shareholder value. Before we open it up for questions, I'd like to mention that Cheryl will be participating in the Gabelli Specialty Chemicals Conference on March 19 in New York City, and I will be participating in a virtual conference with Granite Research on March 16 and 17. We look forward to speaking with some of you at these events. That concludes our prepared remarks, and we will now be happy to take your questions.
Operator: [Operator Instructions]. Our first question comes from Lucas Beaumont with UBS.
Lucas Beaumont: I just wanted to talk about the gross ammonia production. I mean that's sort of -- it's been somewhat volatile just sort of with the turnaround timing. But when we look at it on a multiyear view, it's up kind of maybe 5% on a 2-year stack. So I just wanted to get your thoughts on how we should think about your ability to kind of continue to lift productivity from here going forward and just sort of how that flows through into the remaining kind of $35 million in production improvement initiatives that you called out?
Mark Behrman: Good morning, Lucas. So I think we have a chart in our earnings presentation that is showing sales volumes, but we don't really put in a production volume chart. But having said that, I think if you look year-over-year and you normalize for any turnarounds and you think -- look at the outlook for this year that Cheryl presented, I think you can see that we're continuing to go up. So what we would really -- what we're really focused on is getting to about 875,000 to 880,000 tons of gross ammonia production without any turnaround. So we're confident that we're on the path to get there. We're seeing that year-over-year. And as far as how should we think about that and how much of the $35 million really represents that, I'd probably say maybe about 30% to 40% of that $35 million is by having higher ammonia production rates and getting to the targets that I've outlined.
Lucas Beaumont: And I guess then just looking at your non-gas cost assumptions that you sort of put out today for 2026. I mean, in aggregate, it looks like you're sort of targeting to hold those basically flat year-on-year, maybe even slightly down, so which is a much more attractive outcome for you guys than the inflationary pressure that we've seen over the last couple of years. So I guess, is that sort of inflation abating? Is it work you're doing to kind of keep your costs down? And where you kind of see any swing factors there that could push you sort of higher or lower on those non-gas costs?
Mark Behrman: Yes. So I think what you're seeing is just a lot more efficiency with the business. And also when we become more -- as we become more reliable, there's less maintenance costs, and so we're driving our maintenance costs down. that should continue. And there is a continued expense reduction in the $35 million that we expect to capture.
Lucas Beaumont: Great. And then maybe just one last one on the AN market, I just wanted to get your thoughts on how, I guess, the market is responding to the supply disruption from CF at Yazoo City. What's kind of supply availability like? And is that sort of flowing through to pricing in your P&L? Or how would you expect that given the -- I mean, the market is more contracted. So I assume there's more of sort of a lag there, and it's not as quick a transmission but would be interested in your views.
Mark Behrman: Damien, do you want to handle that?
Damien Renwick: Good morning, Lucas. Look, I think it's really fair to say that the market is pretty tight at the moment. I mean that's a significant production capacity that's out. And I think the players in the market are flexing production where they can, including ourselves. So where it makes sense for us, we're optimizing our plants and reducing UAN production to make more AN available. And we're certainly doing that where it's financially viable as well. So pricing for those sales is definitely above typical contract rates. So how long will that go on for? Look, market intel sort of suggests that, that will go through to the end of the year and we'll continue to try and optimize our production and capture some of those sales. But also against that, you've got the backdrop of the market being pretty buoyant for AN. So as I said in the remarks, you've got gold and copper miners really trying to maximize their production as much as they can, and that is drawing on explosives demand, and we're seeing that in our day-to-day business. So the market is really well set up this year, and we're really well positioned to take advantage of it.
Operator: Our next question comes from Laurence Alexander with Jefferies.
Kevin Estok: This is Kevin Estok on for Laurence. So I have a few end market questions. Just curious to get your thoughts on basically how much of a potential tailwind in demand you could expect to receive from rising U.S. coal production? I guess, or more simply whether you expect U.S. coal production to basically drive a growing share of demand for the company?
Damien Renwick: Yes, hi, Kevin. Look, I think coal is probably more holding steady than increasing. It's -- I mean, there are months where you are seeing some increases in production, but that's really just a power generation mix decision that's happening with potentially higher natural gas prices. So I think what we're seeing this year and what we saw through the end of last year is that there's a lot of support at the moment to keep coal-fired power stations running, and that's providing a pretty solid demand backdrop for coal producers and therefore, for AN. So I think it's pretty constructive the way it's set up at the moment.
Kevin Estok: Okay. Understood. And then just on fertilizers, Obviously, supply continues to be broadly constrained, but I'm just curious to get more detail on maybe what you're hearing on the ground, like how you expect the demand to basically evolve in '27 and maybe if you're hearing demand being crimped by elevated pricing?
Damien Renwick: Yes, great question. Certainly correct in the market is tight, and we're seeing that for our ammonia and UAN products and pricing is reflecting that. And we would expect that to continue through the season. upgrades, urea prices are getting high. Will that cause some demand destruction? Possibly around the edges. But I think with the corn acres being forecast for this year, I think demand is going to be pretty solid, and I would expect the supply and demand balance to be really tight through the end of the year. And also the global dynamics also support that. In ammonia at the moment, it's a very tight market. Urea, we've had sort of unseasonal unexpected Indian tender. Brazil demand is strong. You've got supply constraints in the Middle East and Trinidad. So I think the market from a nitrogen perspective is really constructive and tight, and we expect that to continue through the fertilizer season.
Operator: [Operator Instructions]. Our next question comes from Andrew Wong with RBC Capital Markets.
Andrew Wong: So just maybe just broader, in 2025, we saw some good progress on your main strategic priorities, better production, reliability, more upgrade capacity. There was a transition to industrial sales. So a lot was done in 2025. Like can you just talk about what your main strategic priorities are for 2026?
Mark Behrman: Sure. Good morning. Andrew. So we have a real focus to continue that momentum on the manufacturing side. While we've made a lot of improvements, our real goal is to be an upper quartile manufacturer. So what does that mean? I mean we want to run our ammonia plants at 95% capacity utilization. And so that's the real goal. In order to do that, we've got to mature a lot of our maintenance practices and operating practices, but we've also got to continue to invest some selected capital within our capital plan. But a lot of the time, you really need extended downtime, and that really comes to turnaround. So we expect some real improvements in our operating rates down at our El Dorado facility after this extended turnaround that we have in April. And then again, as Cheryl mentioned, we pulled forward our prior turnaround to proactively make significant improvements there as well. So we should see some real reliability improvement coming out of that turnaround. And then at the Cherokee facility, of course, we have a turnaround next year where we'll do some work there. So that's always going to be a priority as we try and continuously improve. And then really, once we eventually get to the level of reliability that we're really looking for and that we think we can attain, then you're sort of continuing to look at efficiencies. In addition to the manufacturing side, we've still got some optimization that we'd like to do throughout our commercial operations. And we've got some opportunities that we need to look at with some customers. And so that's going to be a big focus this year as to how do we take advantage of those opportunities and where can we selectively invest capital in the future to really take advantage of some of that demand that we can't meet today. The last thing I would say is Cheryl talked about profit optimization. One thing that we've done is we've probably spent a little bit more. And so I think the question earlier by Lucas about expenses and seeing it sort of flatten out this year or slightly down. I think we've got to take more cost out of the business, and I think we've got some plans to do that. And we've spent to improve the reliability. But once you get that reliability, now you can pare back some of the expense, and that's what we'll look to do. So those probably would be the 3 main sort of operating priorities. And then from a strategic standpoint, I think we've -- I think I'm really proud of my team that they've really done a great job in turning around this business. And I think we're at a point now where it's time to grow. And whether that's organically through some debottlenecking opportunities or some just other growth initiatives or that's through some combination of assets or company, I think we're really focused on that.
Andrew Wong: Okay. That's great. Then just on the blue ammonia front, as the Lapis project is kind of coming into focus and hopefully start production by the end of this year, I'm assuming you're having some discussions on blue ammonia with potential customers. What are you seeing from a willingness to pay standpoint for that blue ammonia? And are you seeing customers willing to pay a premium for low-carbon product?
Mark Behrman: I'm going to start with an answer, and then I'm sure Damien is going to chime in on this. I think we're -- the market is really slow to pay a premium. So I think you got to work really hard to find the right customers that are willing -- that it becomes important too. If you're able to export like some of our competitors, you might be able to -- or you can send low-carbon ammonia to Europe. And then depending on what happens with CBAM, you might see a premium paid for that. And there's still an if on what's going to happen with CBAM as we sit here today. So domestically, the fact that we have a pretty large industrial business, I think, gives us an advantage when we're talking to customers that are using our products or upgraded products as a feedstock for some other product. And so they need to work through what's the ultimate cost increase for the value that they'll receive by having a lower carbon product. So a long-winded way of saying, I think that the market -- it's slower to develop -- to pay a premium for a low-carbon product, but there are niche opportunities that we're pursuing. And I think we do believe that over time, people -- and the market will develop and people will pay a premium, but I don't think it's going to happen as fast as everyone thought if the question was asked a couple of years ago.
Damien Renwick: Yes, I would concur with that. I mean, certainly, domestically, it's been slower going, particularly as you've seen some uncertainty around decarbonization and the energy transition here in the U.S. But the story still is positive, I think, globally. And as Mark said, you've got opportunities if you can export to secure premiums, be it into Europe under the CBAM regulation or even into other emerging markets. But it is -- the market, I think, is still immature and has been slower to develop than we'd all want and expect. So yes, that's where we stand today.
Andrew Wong: Given there's more opportunities in the export market, is it possible for you to do some sort of swapping maybe to access that export market?
Damien Renwick: Yes. Look, we continue to evaluate all opportunities for us to be able to export our product, including swaps or some sort of physical transactions. So yes, it's all on the table.
Operator: Our next question comes from Rob McGuire with Granite Research.
Robert McGuire: Two questions. One is on AN. Can you give us an idea of how much your sales volume was under contract exiting in 2025? And if you do ship production towards AN this year, will you try to lock that up under contract?
Damien Renwick: Good morning, Rob. Look, our stable, steady AN business, the base business is all under contract, and we work to make sure that that's the case. And only a small amount really is spot. But what we're doing at the moment is really tweaking the product balance to maximize and produce more AN, and we're doing that by reducing our UAN production and putting it into the AN market. So -- and that's all under spot. And there's a multitude of conversations going on with customers around whether they turn into longer-term arrangements or not. I mean it's a very fluid market.
Robert McGuire: And then shifting to the turnarounds. Can you tell us when you expect Cherokee to take place in 2027? And then on El Dorado, will you be able to build inventory and continue downstream production during the April turnaround this year?
Cheryl Maguire: Yes. So on the El Dorado turnaround, the plan is to build ammonia in the first quarter so that we are ramped up on ammonia in inventory heading into that turnaround, which, yes, should allow us, for the most part, to run all downstream plants through that turnaround. With respect to Cherokee, the Cherokee turnaround right now, I believe, is slated for the third quarter of 2027.
Robert McGuire: And then on import volumes, have U.S. import volumes or buying patterns shifted since fertilizer tariffs were lifted in the fourth quarter?
Damien Renwick: I think it's too early to tell, Rob. I mean, the market is short here, and you're going to see some import tons come into the market to try and correct for that. But I think that's more just a response to the U.S. market per se rather than tariffs.
Mark Behrman: I would say that imports have never stopped coming in here, right? So there's the demand and people have different production points have found a home into the U.S. I think with the tariffs being lifted, I don't know that you're necessarily going to see more imports coming in. I think you could see different imports from different locations coming in.
Robert McGuire: And then I'm not sure who can answer this question, but on farmer economics, there's been a lot of media focus on just the stress in the ag sector. And I'm just wondering how you view the current farmer economics? And do you anticipate that softer farm incomes impacting demand or ordering behavior this year?
Mark Behrman: Yes. So good question. And there's no doubt that when you look at farm economics and you look at lots of folks that are smart than us that really understand the economics that the farmer is under some level of stress today. And therefore, you saw the U.S. government do a $12 billion sort of payment package. I think when you take a step back and we spend a lot of time really thinking about this and talking about it. And the industry really focuses on what do we -- what can we do to help the situation. But the reality is it's really a supply and demand for commodities. And so right now, we had a record corn crop that was planted and inventories are pretty high. And why did that happen? That happened because demand for soybeans, particularly soybeans that are exported, has gone down pretty dramatically. And so when you think about the demand for both of those crops, which are the 2 largest crops for nitrogen use and 2 largest crops that are planted here in the U.S. there needs to be more demand created, one for soy. And so the U.S. government needs to help probably with that to create more demand. But also demand is going to drive corn prices as well. And so there's a lot of talk about permanently going to E15. And if that were to happen, that obviously would increase ethanol demand for corn pretty dramatically. And so I think ultimately, we need to figure out a way to create more demand for our 2 largest commodities. And therefore, that will lift some of the pricing for those products and then put less stress on the farmer.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Mark Behrman for closing comments.
Mark Behrman: Thank you. I want to thank everyone for participating on the call. I'm really proud of the quarter and the year that we just posted. And we're really excited about 2026 and think we'll make a lot of great progress. So again, if there's any follow-up questions, feel free to call Cheryl or myself. Thanks so much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.